Operator: Thank you for joining Ur-Energy Inc.'s Year End 2025 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. If you have joined via the webcast and you wish to submit a question, please use the Ask Question button in your viewer window. If you have dialed in, please press star 1. Please note this conference is being recorded. I will now turn the call over to Alex Ritchie, General Counsel and Corporate Secretary of Ur-Energy Inc. Thank you.
Alex Ritchie: Thank you. Today's discussion includes forward-looking statements within the meaning of applicable securities laws. Forward-looking statements are based on management's current expectations and assumptions and involve known and unknown risks and uncertainties that could cause actual results to differ materially. We do not undertake to update or revise any forward-looking statements except as required by law. Slide two contains disclaimers that relate to forward-looking statements, risk factors and projections, and cautionary notes to investors. Please consider these carefully along with the risk factors in our Annual Report on Form 10-K that was filed on 03/10/2026. I will now turn the call over to our CEO and President, Matt Gilley.
Matt Gilley: Thank you, Alex. Thank you everyone for joining us today. Slide one. As many of you know, I joined Ur-Energy Inc. midway through 2025. From my perspective, it was a year of strong execution and meaningful progress. Across our operations, development pipeline, and financial position, we delivered tangible improvements that position the company for production growth in 2026. Slide two disclaimer. As Alex mentioned, we will likely make forward-looking statements today. Please read the disclaimer at your leisure. On to Lost Creek, Slide three. At Lost Creek, our focus on operational execution translated into significant year-over-year gains. We ended the year with 406,000 pounds of product in inventory, an increase of 21% over 2024. We increased pounds drummed in 2025 by 65% over 2024. We also improved wellfield flow rates, increased pounds captured by 40%, and increased our profit per pound sold by more than $12. Our average cash cost per pound sold, including severance and ad valorem taxes, was $42.89. These results reflect stronger wellfield performance, improved plant throughput, and disciplined operating focus. Slide four. Ongoing drilling at Lost Creek continues to create value. As detailed in our updated S-K 1300 technical report, the measured and indicated resource is now estimated at 11,900,000 pounds and the inferred resource is at 10,400,000 pounds. The estimated mine life at Lost Creek was extended by nearly three years, and the post-tax net cash flow increased to $442,000,000, roughly 45% more than the previous estimate. The NPV with an 8% discount rate is now estimated at $244,000,000, with an internal rate of return of almost 66%. Slide five. We still only drilled a portion of the more than 35,000 contiguous acres at the Lost Creek property. As our Chief Operating Officer, Mr. Steve Hatten, said in yesterday's press release, every time we drill Lost Creek, we have been fortunate to increase the resource base. This underscores Lost Creek's scale, longevity, and long-term growth potential. On Slide six in Shirley Basin, at our Shirley Basin project, we made substantial progress towards bringing our second ISR production facility online. The initial processing plant construction is nearing completion, with all ion exchange columns installed and heat tanks in place. To support start of operation, we have drilled 469 injection and production wells. In Mine Unit 1, Header House 1 is ready to begin initial injection and recovery from the well pending approval from the state environmental department. They began their pre-operational inspections in late February and are looking at our wellfield data package, so that process is underway. The March 2024 technical report for Shirley Basin estimated a nine-year mine life and 8,800,000 pounds of resource in the measured and indicated categories. The estimated post-tax net cash flow is $119,000,000. The NPV with an 8% discount rate is $82,000,000, and an internal rate of return of 69%. The estimated all-in cost is $50 per pound. During 2025, we grew our Ur-Energy Inc. workforce by 55% and welcomed 56 new team members. The majority of those were added to support Shirley Basin, but we also strengthened our operational, technical, and corporate teams across the company. We are proud of the team we have built. Slide seven. From a financial perspective, we ended the year with $123,900,000 in cash, driven largely by the successful closing of our 4.75% convertible senior notes. Our cash position as of 03/04/2026 is $115,300,000. That does not include $18,500,000 that we will receive this month for $24.724700000.0 warrants that were exercised last month for about 12,300,000 of our common shares. All of our outstanding warrants were exercised over the last few months except for an insignificant number that expired. The strength of our balance sheet gives us the flexibility to fund Shirley Basin commissioning, continue ramp up at Lost Creek, and disciplined resource growth. And while we are not taking any victory laps just yet, it is worth pointing out that we finished the year with a positive gross profit of $74,000. A milestone, but an encouraging milestone, as operations and production continue to improve. On Slide eight, at our Lost Soldier project, we installed 18 aquifer test wells in late 2025 to support the evaluation of the potential for ISR development. Aquifer testing will begin this month, followed by baseline environmental studies for permitting and for additional permit—pardon me. Lost Soldier is just 17 miles from the Lost Creek process plant, which could mean an opportunity to develop it as a satellite operation using our existing infrastructure. We have also started work on a technical report for the project that we expect to complete by the end of this year. At our North Hassel project in the Great Divide Basin, drilling continues to deliver very encouraging early results. Through February, we drilled 32 wide-spaced holes totaling 33,000 feet. Seven of those intersected significant uranium mineralization, including 13 intercepts exceeding our Lost Creek cut-off grade. These results suggest multiple stacked roll front horizons, with grade and thicknesses comparable to Lost Creek, supporting the potential for future ISR development. The results include two standout holes, about 1.5 miles apart, that intersected significant stacked mineralization at similar depths, giving us some early confidence in the potential scale of the system. And North Hassel is only 18 miles from Lost Creek. Once we wrap up the 50-hole program at North Hassel, we will move the rigs over to our Lost Creek South project this summer. Lost Creek South is located adjacent to Lost Creek, and we are planning a 120-hole drill program there this year. These exploration programs are critical to expanding our development pipeline, growing our resource base, and diversifying potential future production across multiple projects. Slide nine, wrapping up. As we entered 2026, we continue to optimize our operations at Lost Creek while our second ISR facility, Shirley Basin, is making significant progress towards startup. Our combined estimated mineral resource totals 21,000,000 pounds in the measured and indicated categories, and 10,400,000 pounds in the inferred category, as of 12/31/2025, providing a strong resource base for our production. We have contracted for sales of 1,300,000 pounds in 2026. We plan to cover those sales with pounds in inventory and new pounds that we produce at Lost Creek and Shirley Basin. And on March 4, we had 379,000 pounds in conversion facility inventory. With our growing resource base and strong balance sheet, we believe Ur-Energy Inc. is well positioned to benefit from positive uranium market fundamentals and increased demand for secure U.S. uranium supply. And with that, I will turn it back to the operator to open it up for questions and answers. Thank you.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. If you have joined via the webcast, please use the Ask Question button on your viewer window. If you have dialed in, please press star 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue, and you may press star 2 if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. One moment please while we poll for questions. The first question today is coming from Sundari Iyer from B. Riley Securities. Sundari, your line is live.
Sundari Iyer: Thank you. Hi, Matt. Thanks for taking my question, and congratulations on the quarter. I just have two questions. Starting with the 1,500,000 commitments, including the 250,000 loan repayment. With current inventory levels, can you help us understand what gives the confidence in meeting these deliveries and increasing utilization from the current levels to the 50–60% range?
Matt Gilley: Certainly, Sundari, and thanks for the question. So, look, when you talk about what gives us that confidence, it is what we are seeing now with the current ramp up of operations at Lost Creek, combined with the positive progress on construction at Shirley Basin. We do our mine planning. We do our analysis of risks and opportunities. As we go through this year, our plan, which is a very solid plan we have gone through very carefully, is to be able to make our deliveries of 1,300,000 contractual sales for the year from the existing inventory as well as the new production that we will be bringing on during the year. There are a lot of different parts there. We are seeing a continued ramp up of operations at Lost Creek. We are seeing the wellfield continue to produce high-quality uranium in solution. The improvements in the plant are really taking shape. The team at the Lost Creek plant is expanding. We have a very strong business improvement program in place there. We brought on key individuals, as well as we are going to be adding sand filters to the front of the Lost Creek plant over the next several months. These are the parts from Lost Creek that give us the confidence. Shirley Basin is the positive construction. We are on track to be able to start moving solution through the plant this month, and we are on track to begin shipping resin deliveries in the second quarter. That is all coming together nicely. We still require pending environmental approval from the state of Wyoming. Those are all on track, and they seem clear. We cannot always predict when we will get those, but everything seems on track, and we are very confident in our ability to ship.
Sundari Iyer: Thank you, Matt. Thank you for that update. I will turn it over.
Matt Gilley: Okay. Thanks, Sundari.
Operator: Thank you. The next question will be from Anthony Tagliari from Canaccord Genuity. Anthony, your line is live.
Anthony Tagliari: Good afternoon, Matt and team. Thanks for taking my questions. Just curious on the product loans that you have outstanding. Given your cash balance, when should we expect that this might get repaid? Would it be by the deadline in November? Would you settle it earlier? And then maybe on the settlement, does it have to be settled by replacing the physical or could it be cash settled as well? Thanks.
Matt Gilley: Alright, Anthony. Good questions. We have a 250,000-pound loan with a trading entity that is due in November. As you pointed out in your question, Anthony, we have multiple options on how and when we repay this loan. With our cash balance, we could always have the opportunity to pay back that loan by buying pounds on spot. Regarding the payment of the loan, the loan is to be repaid in physicals. That is not necessarily our physicals, but the loan is to be repaid in physicals. We are not going to pin down exactly how we are looking at that. What we are doing, Anthony, is looking at our opportunities. If we were to see a short-term decrease in spot price, that could give us an opportunity to get that loan off of our books at a very favorable price. Other than that, we look at other opportunities. We have not pinned down, and we are not projecting, a certain path on that. We do know that loan is outstanding. It is due in November, and we have the contingency plans in place to fulfill that loan.
Anthony Tagliari: Great. Thanks. That is very clear. Maybe just as a follow-up. How should we think about the cadence of realized prices through 2026? Do you expect a ramp in prices or to stay fairly consistent? How should we be thinking about that?
Matt Gilley: We have not given, specifically, a price per pound for 2026. But you can see in our 10-K the detail that shows we are contracted to deliver 1,300,000 pounds for proceeds of up to $82,000,000. Those contracts are all different stages and different prices throughout the year, so there is not a ramp up through the year. Those were contracts that were signed multiple years ago for delivery in 2026. You can do the math and come out with the average price per pound, and you should think of it as an average because of the way that the contracts come in and the way that we deliver onto those contracts. It is not a ramp up, but it is a series of different prices at different slots.
Anthony Tagliari: Thanks, Matt. I will pass it on.
Operator: The next question will be from Geoff Graham from Northland. Geoff, your line is live.
Matt Gilley: Good afternoon, Geoff. Thanks for the time.
Geoff Graham: Hey, Matt. Was curious at Lost Creek, given we are a couple months plus into the quarter, any commentary you can share on how production has trended thus far in Q1 relative to Q4 levels and maybe how you are expecting that asset to ramp throughout the year?
Matt Gilley: Good question again. I am going to be hesitant to be too specific because I want to keep everything nice and tight as far as disclosure. Ramp up certainly continues at Lost Creek. I will say in December, we had a significant weather event of 11 days of power disruption from a windstorm that came through Wyoming with winds well over 100 miles an hour. The plant delivered beautifully through December, and the teams responded to that power outage and really did a fantastic job of stripping resin and drumming uranium. January is rough as we reloaded the resin. We are back on track for February. March looks on track for very positive. So the ramp up continues, Geoff. I am being very coy in giving you real specifics yet, but you will get those numbers as soon as they are available. We see the steady path for ramp up at Lost Creek and, with Shirley Basin, deliver into that 1,300,000 pounds. That is our standard answer there, Geoff, and that is what we are committed to.
Geoff Graham: Fair enough. We will stay tuned. For my follow-up on the cost side of the equation, any thoughts on where cash costs go in 2026? Should we expect as Lost Creek ramps up we see some downward pressure on the cost side? And how might the introduction of Shirley Basin pounds impact some of that arithmetic?
Matt Gilley: We are not giving cost guidance, but I will tell you that in an ISR operation, your costs are incredibly fixed. So it is really a function of pounds drummed, or pounds sold. The more pounds you sell, the lower your cost per pound. It really is an incredibly fixed cost structure. The wells are the wells, the electricity is electricity, the same number of people are there regardless of how many pounds you drum, and the cost of the reagents is really just oxygen and carbon dioxide, and they are relatively minor in the big scheme of things. So it is quite a linear relationship between pounds drummed and sold and cost per pound.
Geoff Graham: Got it. Okay. Thank you. I will turn it back.
Operator: Thank you. The next question will be from Joseph Reagor from Roth Capital.
Joseph Reagor: Hey, Matt. Thank you for taking the questions. I guess most might have been answered. But on the regulatory front, some of your peers have noted that because there is this rush to get production up across the industry that there have been regulatory processing delays. Is that what you are dealing with at Shirley Basin? And then on that note, do you have a timeline on when you will get regulatory approval there to get started with production?
Matt Gilley: Joe, thanks for the question. I will start off with the answer, then I am going to hand over to Ryan. He is our VP for Regulatory Affairs. I think the commentary you are hearing about the delays in the process from the increase in activity is fairly focused on Texas. But nonetheless, there is a growing amount of activity across the industry that does impact everyone. With regards to the timing of the regulatory approvals, we certainly anticipate those to be approved this month. I will pass this over to Ryan for some more color. Ryan, do you mind answering Joe's question?
Ryan: Absolutely. The one thing that I would add is Ur-Energy Inc. has an excellent working relationship with our regulators in the state of Wyoming. We work very closely with them in partnership to come to those approvals. As Matt said, all indications are that we are under timely review for those wellfield data packages and approvals to start Shirley Basin. There is nothing that causes us or points us to likely delays. We are working with the state and they are as well. A concern that you have mentioned is as there is more activity, those resources at the state do get stretched, and we are aware of those, and we monitor those and we work with the state as we try to overcome those delays. But as far as Shirley Basin is concerned, everything is on track. We are working closely with the regulators and anticipate receiving those approvals soon.
Joseph Reagor: Okay. And then just as a quick follow-up, if you had the regulatory approval in normal course, when would that header house have started production? I realize it is ready now, but how long ago was it ready?
Matt Gilley: I am sorry to mislead you in my commentary, Joe. We are building the plant. We are on track. We have the header house ready for production on schedule. We have it ahead of the production plant, just because that is good planning. We will be mechanically ready for the plant to receive solution on Monday of next week, and that is when we are going to be loading the first resin tank. Then any delays past then would be due to waiting for regulatory approvals.
Joseph Reagor: Okay. Alright. Thanks for the clarity on that and the color in general. I will turn it over.
Operator: The next question will be from Mike Kozak from Cantor Fitzgerald. Mike, your line is live.
Matt Gilley: Yeah. Good afternoon, Mike.
Mike Kozak: Thanks for hosting the call. It has been a while since you guys have done an earnings call, so I appreciate it. Most of my questions have been answered already. I had one housekeeping-type one left, though. I noticed there was a large discrepancy between pounds drummed and pounds captured at Lost Creek in Q4, much wider than any other quarter I can recall. Could you give some detail on what drove that in Q4 and whether to expect that to mean revert in Q1? Thanks.
Matt Gilley: Mike, good question. Mr. Steve Hatten, this is a COO question.
Steve Hatten: How is it going, Mike? The biggest difference is you heard Matt talk about issues we had with not environmental, but with the environment, where we had some power down. At these facilities, we run the plant on generator power, and the wellfield is all on line power. If we have a major power outage, that can affect the production that we see coming in versus what we can do in the plant. So any variance, for instance, if you see production lagging coming in from the wellfield, that gives the plant a chance to still process material, and vice versa. If the plant is doing maintenance for whatever reason, you will see the wellfield captured come up versus the plant go down.
Mike Kozak: Okay. That makes sense. That is very helpful. I appreciate it, Steve and Matt. I will revert back, and best of luck on the Shirley Basin ramp up this year.
Matt Gilley: Alright. Thanks, Mike.
Operator: Thank you. As a reminder, if you have dialed in and wish to ask a question, please press star 1 on your phone at any time. Next question will be from Justin Chan from SCP Finance. Justin, your line is live.
Justin Chan: Hi. Thanks, operator. Thanks, Matt, for hosting the call. My first one is on getting a sense of milestones through the year in terms of ramping up towards that 1,300,000 pounds delivered, and let us leave aside moving the loan around for a sec. What would you like to see at each operation when we speak at this time next quarter? At Lost Creek, maybe get a bit more granular in terms of mine units and header houses, and at Shirley Basin, if you could provide some more detail, that would be really helpful.
Matt Gilley: Thank you, Justin. I will answer at a general level, and then I will turn it over to Steve to give you some more color on the number of header houses and very granular details. When we talk about milestones for the year, we are looking for the continuing ramp up of Lost Creek, and it is fairly linear for the entire year. The Shirley Basin milestones we are looking for are the delivery of solution into the plant in March, and then the loading of resin and the shipping of resin to initiate in the second quarter to the Lost Creek facility. For the mine unit at Lost Creek, the ramp up is fairly linear. The plant itself is going to have a lot more loaded resin delivered to it, and we are anticipating the plant at Lost Creek to have a ramp up that is not linear, but really peaks in the third quarter. We get initial deliveries coming in in the second quarter, and then you see a large jump in the third and fourth quarters for the amount of pounds that are drummed at the Lost Creek facility. Steve, do you want to give any clarity on header houses?
Steve Hatten: Sure. One of the big things—and as you are very aware—this is a stepwise production at any ISR facility. You have to get the drilling ahead first, and then that focuses on so much of the germination and pattern layouts. Then we get those patterns installed, then they go into surface construction, and then that turns into flow into the plant. One of the things that we have really stretched ourselves out on over the last year or so is to develop those new areas. We are actively developing Mine Unit 5, getting that monitoring going there so we can get it tested and be in production later this year. But Mine Unit 1 Phase 2 has been very productive from a construction standpoint. The rigs spent a lot of last year and are focused heavily this year on getting that done. We have already seen Header House 14 come on. Header House 15 is in research mode to bring grade up, and 16 is in the pipeline next. That continues throughout the course of this year, as Matt said, in a linear fashion to bring up both production flow and grade—the two components that make up production. Those are the main components for the header houses, and I think Matt hit it spot on on Shirley. We have our targets for initial excipient movement in the wellfield in the month of March. Then we expect in the second quarter to bring that into realized capture—true significant capture on resin—which means shipping over to Lost Creek and getting that turned into drum production. Does that help?
Justin Chan: Yeah. That was really helpful. Maybe for each, what is a good deployment rate of bringing new header houses or mine units online through this year—on a monthly or quarterly basis?
Steve Hatten: I will continue answering, and then Matt can stop me if he wants to. What we like to see at Lost Creek—typically at a 1,000,000-pound-per-year production rate—you are looking at about eight to 10 header houses a year for construction, drilling, and readiness. At Shirley Basin, as you have seen in our previous press releases, we are anticipating much higher flow rates there. We will determine how that plays out during the first year of operations. We are going pretty heavy there initially and trying to get six to eight header houses on this year. Then, depending on how that production-grade curve goes and the flow comes in from each area, you are going to see us possibly—this is one of those forward-looking statements—scaling back to six, maybe eight, header houses year over year. What we have seen initially from our first drilling has been very good for us. We have been very happy with the pounds that are showing up under pattern there, but that is still early. Justin, does that give you the color you are looking for?
Justin Chan: Yeah. That was fantastic. Thanks, Matt and Steve. Maybe just one last one. I led the witness a little bit on the question, but to hit your targets more holistically, is it a case of deployment of wellfield development and header houses, or is it also on the plant side of things? Are there improvements you would like to see there in order to hit those numbers? What are the keys to hitting those targets this year?
Matt Gilley: The key business improvement initiatives right now are focused on the plant. The Lost Creek wellfield just delivers, and we are well ahead on the drilling there. We have deployed a lot of drills at Lost Creek over the last two years, and we are well advanced on the drilling of header houses and patterns at Lost Creek. Shirley Basin is in the same mode. The wellfield there is well developed, and it is on track and on schedule. The key business improvements for this year are focused on plants. If you then drive down into a subset of that, it is on fines management and what we are doing to remove fines coming into the plant so that it reduces the complications that fines in the plant cause with the resin tanks. That is where the key focus is right now. You will see in our 10-K that we are dedicating some fairly significant capital towards upgrading the water treatment at Lost Creek, and that is both on the front end with the fines and sand filters in front of the plant as well as on the back end with the reverse osmosis and water treatment for delivery of the water back into the shallow aquifer and/or surface discharge.
Justin Chan: Thanks, Matt. Is that more of an IX issue going into the IX plants? Or just to clarify.
Matt Gilley: It is an IX issue, where fines in the IX columns cause inefficiencies. It is about keeping the fines out of the resin column. The resin columns act as a sand filter. If you put fines into them, then you create a fine layer on top of the resin, and it makes it inefficient. You have to clean that out. So we are working on improving that part of the system.
Justin Chan: Understood clearly. So it is essentially fines clogging it up.
Matt Gilley: Fines are bad. It is great—fines are actually kind of good for us in that a significant portion of our uranium is in the fines. So fines are making uranium, but removing fines from the solution before it enters the plant is the real key.
Justin Chan: Understood. Thanks a lot. That was really useful color. I will free up the line.
Operator: Thank you. The next question is coming from Matthew Key from Texas Capital Securities. Matthew, your line is live. Matthew, please, your line is live. Please check your mute button.
Matthew Key: Sorry about that. Good afternoon, everyone. Thanks for taking my questions. I wanted to ask about future sales commitments and whether you are working on, or if it is possible to fold in, some incremental commitments in 2027 and 2028, or are talks at this point mostly for 2029 and out?
Matt Gilley: Hey, Matthew. Thanks for the question. Our talks right now are mostly for 2029 and beyond. That is where we are focusing. We are comfortable with our sales book right now. As many of our peers have done, we do not see the necessity to have our book completely committed several years in advance. We are looking for opportunity. We are a uranium miner, and we are very optimistic and bullish on the uranium price. We like the idea of having some pounds in inventory that we can place opportunistically when the time is right.
Matthew Key: Got it. That makes sense. Just a broad one for me—most of my questions were asked. Are you thinking about M&A in the current environment? Any targets out there that could potentially be compelling, or do you see the need for mergers in this space right now?
Matt Gilley: When you say the need for M&A, we do not necessarily say there is a need for M&A. We do say that adding more resource base to Ur-Energy Inc. will have a very valuable contribution to the company. We recognize that more resource is going to help this company a lot. It is going to provide us with what we need to continue to advance. How we get those extra pounds—we are already focused on exploration both in the Great Divide Basin in general as well as mainly adjacent to Lost Creek. Lost Creek has a lot of open ground on almost all sides. It is open for expansion and exploration. We are not going to—when it comes to M&A specifically, we are going to answer like every corporation answers when they are asked that question. What I can also say is that part of the catalyst for the convert issue at the end of last year was so that we would have funding available such that if an opportunity were to arise, we could act on that opportunity. That was part of the catalyst for why we went for that convert raise, and those funds are available for our use in a very prudent and disciplined manner.
Matthew Key: That is very clear. I appreciate all the color, and best of luck.
Operator: Thank you. The next question will be from Heiko Ihle from H.C. Wainwright. Heiko, your line is live.
Heiko Ihle: Hey there. Thanks for taking my questions.
Matt Gilley: Hey, Heiko.
Heiko Ihle: Just following up on Matthew’s question a little bit. Can you walk me through what you are seeing with the demand for longer-term pricing as opposed to spot? How desperate are the buyers, and are they pushing towards longer-term contracts? What kind of pricing structures are they guiding towards?
Matt Gilley: Thanks for the question, Heiko. I was wondering who was going to ask that question. I am not going to use the adjective desperate. But I am going to say that the interest in securing uranium supplies for use in the nuclear industry is growing and is vibrant. We get a lot of requests for proposals. We are careful in what we look at. As we touched on before, we are not interested in over-obligating in the near term. We have a curve going in front of us of our commitments. We have a model that we have built on what we are looking for, committing our forecast production in every year ahead of us, and it peters out after six years. Then, of course, each year, the wave moves forward. From the standpoint of pricing, what we are seeing right now is that pricing certainly has a market-related component. That market-related component is becoming more meaningful in the majority of the way that pounds are being sold going forward. I do not think I am telling you anything unique to Ur-Energy Inc. at all. That is the same commentary you are hearing from other producers. But the industry is moving more towards market-related contracts and certainly de-emphasizing a term with escalation.
Heiko Ihle: What are you seeing with geopolitical demand factors as things are progressing, especially given what happened the last couple of weeks?
Matt Gilley: On the geopolitical standpoint, I hope from the U3O8 standpoint, geopolitical does not come in as much as you would think. Kazakhstan is still the world's major producer and still feeds into the market. You see a lot of geopolitical coming from the enriched side of the fuel cycle. From our standpoint, producing U3O8, we do not see the geopolitical as far as the world market. What we are seeing—and we have seen significantly over the last couple of months—is the idea of U.S.-based production. Not U.S.-legal production, but U.S.-based production. We feel—this is a very forward-looking statement—that there is growing potential for U.S.-based production to see a meaningful premium compared to U.S.-legal production. That is part of the reason that we are being careful with the deployment of contracts. We want to be able to keep some material available for opportunistic placement in contracts that have a premium for U.S.-based supply.
Heiko Ihle: That is helpful. I will get back in queue. Thank you.
Operator: Thank you.
Operator: There are no other questions from the phone lines at this time. I would now like to hand the call over to Valerie Kimbell, IR Director at Ur-Energy Inc., for webcast questions. Valerie?
Valerie Kimbell: Thank you, Paul. Our next question is regulatory in nature. How confident are you in your abilities to navigate regulations that might be reinstated down the road?
Matt Gilley: Thank you, Valerie. How confident are we in navigating regulations that may be reinstated down the road? I am not necessarily sure. I am going to ask Ryan—do you have an idea of the basis of that question, Ryan?
Ryan: I do not know if I entirely have a basis, but I would say we are actively monitoring all rulemakings, and we are actively participating in those processes. As part of our management of our business, we are aware of those, and we keep track of any changes to regulations or policies and are responding and working with regulators appropriately to minimize risk to our operations.
Matt Gilley: Thanks, Ryan. I think that question might be pointed towards some work that is being done on the ISR binding regulations. Ryan, do you want to summarize your involvement and you as a representative for Ur-Energy Inc. in that rulemaking?
Ryan: Absolutely. As you know, there are major changes to the Nuclear Regulatory Commission, much of which was directed by Executive Order 14100. In response to that, the NRC will be issuing draft rules in the coming months on ISR. We are very much involved in that process. We have been involved with NRC commissioners, national groups, National Mining Association, Wyoming Mining Association, Nuclear Energy Institute, a number of different groups that are all watching that, and we are all participating as much as we can to ensure we understand how that will affect our business and ensure that it is appropriate for the business that has been established over the last fifty years or so. I could go in more detail on why ISR rulemaking is needed, but at this point, I will just leave it at that, Matt, unless you want me to expand further.
Matt Gilley: I think that is a great summary. Thank you very much, Ryan. Valerie, are you feeling the question is answered?
Valerie Kimbell: Yes. Our next question concerns new technology. Do you have any plans to work with new technologies of uranium productivity? For example, Lightbridge Fuel or some other company looking to up the efficiency of uranium power.
Matt Gilley: Thanks, Valerie, for that question. I am relying heavily on Ryan today in this call. Ryan, we as Ur-Energy Inc. are quite active—and I am very proud of this—in the advancements in the uranium industry. First, I am going to ask Ryan to give a quick summary on what we are doing with the DOE labs for initiatives in advancing uranium.
Ryan: For sure. Overall, in our culture as a company, we are always looking to advance and to increase efficiencies and look at new technologies. That is something that we have always participated in. To give a flavor of what Matt was talking about, we have partnered with National Laboratories to look at a number of different issues. We, in essence, partnered with those laboratories to say, here are some struggles that we may have or that could use some efficiencies, and they are working very closely with us. It is exciting to see. These are national labs across the United States. It is not just a single national lab, but this is all with the Department of Energy. We have some exciting things that we are looking at. As far as your question regarding fuel and new fuels and things of that nature, while we may be a provider of the source material for those fuels, we are not actively engaging in those fuel fabrications like you mentioned, Lightbridge. That make sense, Matt?
Matt Gilley: Yeah. That makes sense. I will also stress that the recent commitment of over $2,000,000,000 towards the advancement of the enrichment capacity of the U.S.—we are involved in discussions with all of those parties with regards to the potential to supply them with U3O8 as they are doing their testing and as they are doing their ramp up of their facilities, and we build those out. If you are involved in the nuclear industry in the United States, you are involved with us. Is it Valerie?
Valerie Kimbell: There are no more questions. I will hand it back over to you for closing remarks.
Matt Gilley: Alright. Everybody, I was thrilled with the interaction, the number of questions, and the interest in Ur-Energy Inc. I am thrilled to be here. I could not be more proud of the operations and our teams. Thanks everybody for being on this call. This was a great restart of the quarterly earnings call, and I am very excited about being able to talk to you in the next three months. Thank you.
Operator: Thank you. This does conclude today's conference, and you may disconnect your lines at this time. Thank you for your participation.